Operator: Ladies and gentlemen, thank you all for standing by and welcome to the Q1 2020 Autoliv Incorporated Earnings Conference Call. At this time, all participants will be on a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you all that this conference is being recorded today Friday, April 24, 2020. And without any further delay, I would like to hand the conference over to our first speaker for today, Operations Head of Investor Relations, Mr. Anders Trapp. Please go ahead.
Anders Trapp: Thank you, Geno. Welcome everyone to our first quarter 2020 financial results earnings presentation. Here in Stockholm, we have our President and CEO, Mikael Bratt; our new Chief Financial Officer, Fredrik Westin; and myself, Anders Trapp. During today’s earnings call, our CEO will provide a brief overview of our first quarter results as well as provide an update on our general business and short-term market conditions. Following Mikael, Fredrik will provide further details and commentary around the financials. At the end of our presentation, we will remain available to respond to your questions. And as usual, the slides are available through a link on the homepage of our corporate website. Turning to the next slide, we have the Safe Harbor statement, which is an integrated part of this presentation and includes the Q&A that follows. During this presentation, we will reference some non-U.S. GAAP measures. The reconciliation of historical U.S. GAAP to non-U.S. GAAP measures are disclosed in our quarterly press release and the 10-Q that will be filed with the SEC. Lastly, I should mention that this call is intended to conclude at 3:00 P.M. Central European Time, so please follow a limit of two questions per person. I will now turn it over to our CEO, Mikael Bratt.
Mikael Bratt: Thank you, Anders. Looking now into the Q1 2020 key events on the next slide. Before we start with the formal presentation, I would like acknowledge our employees for the continued actions and commitment to quality, delivery and safety during these exceptional times. During the quarter, global light vehicle production fell close to 25% as production in China and part of other markets in Asia came to stop in early February and that most vehicle manufacturing plants in Europe and North America closed down in mid-March. We have continued to outperform against global light vehicle production as our sales declined organically by 11 percentage points less than global light vehicle production declined. We outperformed light vehicle production significantly in all regions. Despite exceptional weak light vehicle production, we are able to report a strong first quarter. I am especially pleased with our sales outperformance and that our gross margin was slightly higher than a year ago and adjusted operating margin was only 30 basis points lower. Our cash flow was actually at somewhat higher than Q1 last year. The task force we set up to initially manage the situation in China have been expanded to global scale and have been able to act strongly with timely cost reduction actions to offset much of the headwinds from the weak light vehicle production in the quarter. We were able to safeguard our supply chain and make sure that no customer was detected by lack of Autoliv products. We have undertaken a number of actions to manage the evolving situation, including adjusting production and shorter workweek hours to meet lower demand. We have also reduced or suspended investment and spending that are not critical for daily operations, accelerated cost savings initiatives, furloughed personnel often in government-sponsored programs, and reduced compensation for executive officers and board members. We have intensified working capital control through strict inventory control, close monitoring of receivables and close collaboration with suppliers. In addition, we have counted a dividend drawn fully on our revolving credit facility and thereby secured a liquidity of $1.5 billion in early April. So far, we have not seen any changes to the sourcing behavior of our customers. During quarter, our order intake share remained high and supportive of a prolonged sales outperformance. Given the uncertainty in the market, we have withdrawn our full year guidance until the effect of COVID-19 pandemic can be better assessed. Looking now on the adjusted sales performance on the next slide. Our sales declined organically by $283 million or by 13%, which was 11 percentage points better than the light vehicle production decline of almost 25%. As a result of a positive model mix and new launches over the last 12 months, we were able to outperform light vehicle production in all regions. The overall sales decline was driven by China followed by Europe and North America. The only areas with organic growth were ASEAN and South America. The most impact from the coronavirus outbreak was in China, where sales fell organically by almost 37%. However, this compares favorably with the light vehicle production decline of nearly 60%. The outperformance was mainly coming from global OEMs. Sales in North America decreased organically by 9%, 2 percentage points better than the light vehicle production decrease. Almost half of the organic decline can be attributed to lower inflator sales. The decline was partly mitigated by organic growth with a multiple of OEMs, mainly with Tesla, but also with Subaru, Mazda and BMW. In South America, our sales increased by 7% organically, despite 17% decline in light vehicle production. The growth was mainly driven by sales to FCA. In Europe, we continue to trend from fourth quarter and outperformed light vehicle production by around 8 percentage points impacted by recent launches of high volume models at PSA, VW and Renault. As vehicle production came to stop amid the spread of the coronavirus, our sales dropped by close to 30% in the month of March. Sales in Japan decreased organically by 4% compared to the light vehicle production decline of 8%. Decreasing inflator replacements impacted sales negatively with 1.3 percentage points. Rest of Asia organic sales declined by 4%, which was almost 14 percentage points better than light vehicle production within the region. Sales in South Korea, India fell, while sales in ASEAN increased despite lower light vehicle production. Looking at our recent model launches on the next slide. We continued to have a high level of launch activities in the quarter. The model shown on this slide, are well distributed across the globe and most of them will be available with some sort of electrified powertrain, for example, pure EV, mild hybrid, or plug-in hybrid. The Autolive content per vehicle is between $100 to almost $500. It is particularly interesting to see front center airbags on three of these vehicles. We expect to continue to see strong growth coming from front center airbags as Euro NCAP has introduced the curbside low case in the updated rating program. Four of the vehicles are equipped with the airbags from Autoliv on the driver side. Tesla Model Y has the knee airbag also on the passenger side. Currently, we see limited effects from the COVID-19 on the OEM 2020 launch plan and we continue to support them with engineering, testing and by setting up new production lines. However, we believe that some products that have planned launch date closer to the year end or later maybe delayed; vehicle facelifts in other areas, where the automakers may change their plan. Now, it’s my pleasure to introduce our new Chief Financial Officer, Fredrik Westin. Fredrik joined our executive leadership team in early March and he will now speak to the financials on the next slide.
Fredrik Westin: Thank you, Mikael. This slide highlights our key figures for the first quarter. Our net sales were $1.8 billion, which is a 15% decline compared to the same quarter last year. Despite the lower sales and lower utilization of our assets from the decline in LVP, our gross margin improved by 50 basis points and was positively by the absence of costs related to the social unrest in Mexico, savings from indirect and direct workforce adjustments, lower raw material costs and also constant currency effects. While the gross margin improved, the lower sales led to a decline of $4 million to $8 million in gross profit. The adjusted operating income declined by around $30 million to $136 million mainly as a result of the lower sales. Reported earnings per share declined by $0.41 to $0.86. The main drivers behind the decrease were $0.53 from lower operating income and $0.05 from financial items partially offset by $0.16 favorable impact from lower tax. Our adjusted ROCE and ROE were both at 15%. Dividend paid in the quarter was $0.62. Looking now on the adjusted operating margin development of the next slide, our adjusted operating margin of 7.4% was 30 basis points lower than in the first quarter 2019. Q1 2019 was however negatively affected by temporary costs for the social unrest in Matamoros in Mexico. Excluding this cost, our adjusted operating margin would have been 8.7% a year ago. As illustrated by the chart, the adjusted operating margin was positively impacted by lower cost for raw materials of 30 basis points, lower cost for SG&A and RD&E of 50 basis points, and positive FX effects. These positive developments were more than offset by the effect of lower sales. The lower organic sales negatively affected the margins by around 317 basis points. However, we managed to mitigate some of the negative operating leverage effects from the lower sales by a number of activities, such as accelerated cost saving initiatives that started in previous quarters by adjusting production and workweek hours and by furloughing personnel. Looking on to next slide, for the first quarter of 2020, the operating cash flow was $156 million compared to $154 million a year earlier. As the lower net income was more than offset by less negative effect from changes in operating assets and liabilities and increased deferred income tax. Capital expenditures amounted to $88 million in the first quarter, which is about 4.8% in relation to sales. Compared to last years capital expenditure decreased by $20 million as we suspended or delayed some investments. As a result, our free cash flow improved by $22 million to $68 million compared to the same quarter last year. Cash conversion improved to 90% this quarter compared to 41% the same quarter a year earlier. Looking on the next slide, we have as you know a long history of a prudent financial policy. Our balance sheet focus and long-term shareholder-friendly capital allocation policy remains unchanged despite the current market conditions. The leverage ratio at March 31, 2020 was unchanged at 1.7x since the beginning of the year. The lower net debt was offset by lower last 12 months EBITDA. At the next slide, you can see our liquidity position and the maturities. As illustrated, our liquidity position is strong. We had around $1.5 billion in liquidity after drawing fully on our revolving credit facility on April 2. We have very limited amount of maturities in the next 3 years with around $320 million in debt maturities in 2020 and around $275 million in 2021. We have no need for any major refinancing of existing debt until 2023. Therefore, we believe that we have secured a significant liquidity cushion to manage our business successfully in this challenging environment. I will now hand back to Mikael.
Mikael Bratt: Thank you, Fredrik. I am proud on how Autoliv employees have been creative in finding ways that we can use Autoliv resources and competence in supporting society’s battle against the COVID-19 crisis. On the next slide, we show some examples of initiatives taken by Autoliv associates around the world. In Poland, we have worked with local hospitals to manufacture and deliver masks. In North America, we are using our laser cutting machines to cut materials for local sewing company that manufactures masks. In India, we have provided food to migrants that have become stranded and have no income to feed their families or themselves. Looking at the market situation on the next slide, you can see that our industry is in a downturn of historic proportions. March is typically one of the busiest months of the year for the car industry. This year, however, the automotive industry has seen its worst March for decades. As consumers were unable to visit car showrooms due to social distancing and government enforced closures as well as shutdown of parts of society, light vehicle sales declined roughly by 38% in the U.S. and by 55% in Europe in March. There is a great uncertainty in light vehicle sales and production due to the evolution of the pandemics. Government actions and policies changes as well as end consumer demand for new vehicles. Therefore, it’s currently not possible to estimate the light vehicle production run-rate. We will reach post the COVID-19 pandemic. Regardless of what level of light vehicle production that will be the new normal, we will have to adapt. We are therefore working with different scenarios in preparing for the new normal, some of them significantly lower than the current IHS estimates. Keeping a high degree of flexibility and agility is therefore essential to be an even stronger company post the COVID-19 pandemic. Moving to the next page, the situation from major light vehicle markets is very uncertain and changes day by day. OEMs in China are gradually coming back to their previous production levels and China Passenger Car Association reported that the retail sales were 14% above last year’s level in the second week in April. However, the situation remains fluid and OEMs will be adjusting their pace of production according to inventory levels and market demand. Production disruption in other regions, which supply components to automakers in China, can potentially slowdown their recovery. The number of European automotive plants, have restarted or are preparing to start again after more than a month of coronavirus-related shutdowns. The production rate will likely be volatile with reduced chips to adapt to uncertain demand development and availability of components. In the U.S. and Canada, most OEM plants to resume production at their facilities by early May. Production disruption of components in Mexico can potentially slowdown the rest of the region as there is uncertainty around the startup for plants in Mexico due to the government’s stay-at-home measures. Most OEMs in Japan have announced closures and slowdowns in April and May. The golden week holiday is expected to be extended by a couple of days. Looking on to next slide, we have summarized the situation for Autoliv operations in our major regions. In China, our production has gradually recovered to around 100% compared to this time last year. However, the automotive industry has been particularly hard hit during the pandemic and it will take months for the industry to recover to full efficiency and to reach a stable demand. In Europe, our plants are resuming and ramping up production in line with our customers’ needs. All tech centers are back in operation, however, with lower than normal capacity. In North America, 10 of our 13 sites are fully shutdown. In the 3 sites that are open, we run limited production for overseas customers. In Japan, 70% of our plants are running. In South Korea, our airbag plants is producing at near normal rate while the seatbelt plant is open, but not running full shifts. Looking on the next slide, we show our response to the challenge in market condition. This includes much more than just headcount and workweek hour reduction. Firstly, in response to the new working situation brought by the coronavirus, we have stepped up our efforts to secure health and safety for our employees through new policies and procedures for increased awareness and changed behavior as well as protective equipment. In addition, to securing a strong liquidity position of $1.5 billion, we have also intensified our capital management through strict inventory control, reduced or suspended investments, and spending that are not critical for daily operations, close monitoring of receivables and close collaboration with suppliers. We have undertaken a number of cost reduction activities such as adjusted production and workweek hours, accelerated cost savings initiatives, furloughed personnel often in government-supported programs and accelerated the redesign of products for lower costs. In addition, we have for the time being suspended our dividend payments and reduced executive salary levels. While we continue to focus on further cost reduction actions, we are also planning and preparing to restart production as shown on the next slide. We are preparing for restarting and ramping up in coordination with our customers and suppliers. We are deeply focused on keeping our employees, customers and suppliers safe when we restart production at our facilities. To navigate this new normal, we have developed a playbook that lays out processes to raise awareness of new health protocols and to support execution in a challenging situation. This Smart Start guideline includes practical recommendations based on guidelines from World Health Organization and our lessons learned from our recent ramp up in China. We are providing personal protection equipment such as masks and VCs and making redesign of production environment, for instance, setting up protective screens. Our first focus is now on Europe, which is starting to ramp up as of this week. Turning the page, we have summarized the business environment in Q1 and Q2. The pandemic impact on the consumer demand, supply chain and OEM production cannot be forecasted with a satisfactory degree of confidence. Consequently, we withdraw our full year guidance and it is not possible to determine when a new full year outlook can be made. The situation is however more challenging currently than it was in the first quarter. Customer closures are now affecting the majority of our operations for an unclear period of time compared to the more limited, but significant scope in the first quarter. It is currently difficult to estimate how large the second quarter light vehicle production decline will be. The regional mix will have a more negative impact on sales in the second quarter due to higher safety content in vehicles in Europe and North America. In the first quarter, we had a positive impact on sales from regional mix. IHS latest outlook dated April 16 indicates a global light vehicle production decline of 45% in the second quarter. A decline on such magnitude would of course have a significant negative impact on our sales and we do not expect to be able to offset the effect of the lower sales with cost reduction activities, while planning for production restarts. We are therefore expecting the decremental margin in the second quarter to be significantly higher than it was in the first quarter. When it comes to CapEx, we are scrutinizing everything, delaying what can be delayed. Typically, 70% of our CapEx is related to new production lines, which very much is driven by the plants of our customers and are difficult for us to postpone. On to the next slide, we have to manage the current charges post COVID-19 pandemic without losing focus on the long-term opportunities. Autoliv is operating from a position of strength in terms of available liquidity, flexible structure and not at least dedicated and experienced employees. This exceptional situation requires tough decisions that we will make as necessary. It is our utmost importance to ensure that we have an adequate cost structure that supports our profitability targets regardless of what level of light vehicle production that will be the new normal. The strategic initiatives and structuring program improvement products we outlined on our Capital Markets Day in 2019 remained key priorities although some products maybe somewhat delayed. We will continue our efforts for flawless execution of new launches, improving customer satisfaction further and thereby supporting our stronger market position. I will now hand back to Anders.
Anders Trapp: Thank you, Mikael. Turning the page, this concludes our formal comments for today’s earnings call and we would like to now open up the line for questions. So I turn it back to Geno.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of James Picariello. Please go ahead. Your line is now open.
James Picariello: Hi, guys. Yes, just on your – the quarter’s significant market outperformance within your guidance framework last quarter and I know obviously a lot has changed since then, but you talked about stronger growth over market position for the second half. Now, was that a factor of better mix in the quarter, favorable customer exposure or was there really just a delay in your ramp down, which maybe gets caught up in the second quarter?
Mikael Bratt: I would say that the outperformance in the first quarter was, to a large extent, contributed by favorable regional mix in the quarter, where we saw China light vehicle production falling with close to 50% and that we have lower content in that sense. And then you had high, let’s call it, value like content per vehicle in Europe and U.S. still at the high level for the most of the quarter. It was not until the last 2 weeks basically, where you saw the effects in Americas and Europe, so favorable regional mix in the quarter contributed to the outperformance.
James Picariello: Got it. And have you – did you also benefit from any competitor issues, maybe competitors struggling more so than Autoliv in the quarter?
Mikael Bratt: I think, it was no, I mean in the quarter, it’s purely, I would say, the mathematics of the run-rate in the OEMs – on the OEM side here and there you have the effects which I have mentioned regionally.
James Picariello: Okay, got it. And then just on Mexico, can you remind us what percentage of your North America sales mix is tied to your production operations in Mexico and then just given what’s going with the peso, will there be a sizable FX transactional benefit potentially this year. Just can you help us walk through how to think about that flow-through? Thank you.
Mikael Bratt: No, I think when it comes to the Mexico, U.S. relationship that I would say, you should more see it as the total automotive industry that is very connected. So, I think for us of course we have a high portion of production in Mexico. I mean, that’s one of our biggest production countries. So of course that is important as that goes hand in hand with what’s happening in the U.S., but I think the question is much broader than Autoliv specific here it’s the whole automotive industry that needs to be in sync between Mexico and the U.S. to actually get into a ramp up that is sustainable.
James Picariello: And just your thoughts on the FX transactional?
Mikael Bratt: No, it’s not. You shouldn’t count on anything that I would say it’s not, I mean, first of all, we have no guidance as you know for either the quarter or the year end. I think the FX is in that category here as well. I mean, we have no indications for the quarter here on that.
James Picariello: Okay. Thanks, guys.
Operator: Thank you. The next question comes from the line of Rod Lache from Wolfe Research. Please go ahead. The line is now open, Rod.
Rod Lache: Great, thank you. Just a few questions. First, you have historically demonstrated a lot of agility in terms of adjusting your cost structure, pretty, you have a very variable cost structure compared to most other auto suppliers. Can you just maybe give us a sense of how that could come into play here, for example, obviously not in Q2, but longer term if revenue stayed below historical levels, maybe it stayed at levels that you saw in the first quarter and you are given enough time, is there any way to characterize the magnitude of cost adjustment and margin that you would ultimately believe you could achieve?
Mikael Bratt: I think I mean what you are mentioning here about time is the critical here. I think we have stated for a long time. When it comes to our medium to long-term targets here that the critical question there is not that we need to get back to some kind of all-time high levels that we have seen in the past here, it’s stability that is critical. But that’s over time. And since we are not giving any guidance here, I don’t want to get into any time horizons when we talk about this, but we have a structure that provides good flexibility. And I would say here that I mean if you look at our total cost base, I mean, around half our sales is purchase components. Now, the 10% is connected more to direct labor and then not a 10% other flexible type of cost or flexibility. So it leaves around 30% as fixed costs roughly there, but as we all know long-term you can also work with that, but then that’s kind of the ballpark you should think about. And then when you have a situation like we have right now where it comes to definite stop in just a few couple of days, it looks very differently. And also when we are looking into the quarter here, it’s a very steep stop. So I would say normal calculation there is maybe not visible here, but over time that’s the ballpark figures you should think about.
Rod Lache: Okay. And do you have any views on obviously every company in the world was putting in place new operational protocols for safety, social distancing, is that in your view have any long-term consequences for productivity or how we think about just operationally that the inefficiency that’s introduced there? And then lastly, can you comment just on what you are hearing about the trajectory of these restarts? So Europe seems like that’s underway, is it just a few plants, are your customers telling you anything about the level of production and how that is expected to ramp over the next weeks?
Mikael Bratt: Yes, I think, all in all, I mean if you start with the last question that. I think when it comes to the visibility here it is of course very, very low under these circumstances. And as we have mentioned and you also have seen some OEMs are starting some of their plants. So, it’s more side-by-side I would say and model by model that they are starting and the levels are very low. And at this point in time and I think also when you look at the ramp up, it will go relatively slow, but what it all depends on is, of course, how the virus is developing here, if it’s stabilizing, if it’s declining or if it’s continuing to spread and increase. So, that’s the $1 million question on how that is developing, because that’s how we will be able to restart across the continent here. And that visibility is of course very low for everybody in the industry. So, I think we will have not – it will be required to have a lot of flexibility and that’s what we are focusing on here, because you could very well see it increasing and then coming down a little bit again and so on. So uncertainty is very, very high and very low visibility. And I think that’s also the feeling and the signals we get from our customers before. Looking at the consequences if I understand your question right on the new measures that we need to implement to keep our employees safety here under current circumstances, if that has a long-term negative impact on productivity and so on. And I would say I guess it’s too early to say that, but I don’t expect it, because the measures we are taking is under these current circumstances, I don’t see to a larger extent, continue beyond the virus situation. So it’s more connected once again to how the COVID-19 pandemic evolves here. Of course, there is some more cumbersome procedures there in terms of equipment and so on that you need, but I don’t see any problem for us to keep up with our productivity work and securing quality and deliveries according to customer expectations here so, it is something we are well equipped to manage.
Rod Lache: Great. Thank you.
Anders Trapp: Thank you.
Operator: Thank you. The next question comes from the line of Mattias Holmberg of DNB. Please ahead, Mattias.
Mattias Holmberg: Thank you. You showed quite a decent decline year on year in CapEx spend and I am just trying to understand sort of assuming that there are no changes or delays to our customers loan scheduled activities is there still any room to further scale down the CapEx level from what you reported in Q1?
Mikael Bratt: That’s an ongoing work of course to see how we can optimize the timing of the things that needs to be invested so I think the usual scrubbing of the CapEx that has been ongoing and will continue to go on and that’s why it is so important here to stay very close to our customers to understand if there is any changes to their own schedule or so when it comes to launches of on how that food impact us in the way that we could delay some of the investments. But all the start of production commitments that we have with our customers of course can ever be jeopardized so that’s the bottom line in terms of what type of CapEx investments we need to stay on above them we continue to scrub the numbers here.
Mattias Holmberg: Thank you. One more question from my side, talking about the regional mix again, which you explained here, how it impacted you positively in Q1. Given the dynamics of how the sector has been impacted throughout the year so far would it be reasonable to assume that you then would have a negative regional mix impact in the second quarter?
Mikael Bratt: Yes I mean going into the second quarter, with what we also described around the volumes in Europe, North America and that China is ramping up so I would say it should be assumed that we should see the reverse in the second quarter here but is it by dynamics situation here, but based on that.
Mattias Holmberg: Understood. Thank you.
Operator: Thank you. The next question comes from the line of Sascha Gommel from Jefferies. Please go ahead. Your line is now open.
Sascha Gommel: Hi, good afternoon. Thank you for taking my questions. The first one would be on working capital and how this is going to unwind in the second quarter because your absolute level of receivables was higher than payables, so is it fair to assume that from that side we should expect a little bit of an inflow and then similarly from inventory takes up a bit Q1 versus full year numbers. So do you also expect from the inventory side that you get some support?
Mikael Bratt: Let me take that question. So if I start with the inventory side, the background is of course at the end of March, we were ramping up in China while ramping down in Europe and in the U.S. And this was done with very steep curves at the same time. So we need to make sure that we have the material on the one hand side to be prepared for the ramp up but also that we don’t and that would not jeopardize that but at the same time of course also do what we can do to take out the necessary with the unnecessary inventory it is a very difficult balancing act at the moment and with the uncertainty on the volumes it will remain so so it is very difficult to then predict where the inventory develop and would be in the second quarter I mean our plan is to of course to take out as much as we can but it is this balancing act that I described on the receivables side it will follow the sales development and we expect that to pick up during the second quarter so with that you should expect that also build up of receivables in the second quarter and then that will have a negative development on say cash from working capital but the key is to manage the over do part of that and make sure that we don’t run late on collecting but it is I think it would be it will follow the mathematics of the ramp up and that’s the very, very difficult part to explain or to forecast at the moment/
Sascha Gommel: Understood. Very clear. And then my second question would be on the decremental margin you touched that multiple times already if you were willing to give a number of if we would exclude product that will make how much of your underlying operating leverages just to get a better understanding of how much of that is actual make and how much of it is actually volumes?
Mikael Bratt: Yes I think I mean I was a little bit touching that in the previous questionnaire when I talked about the fixed and flexible costs and what we said here is that around 30% or fixed so with a short stock like we see right now it maybe worst most likely too much worst situation than normal rule of thumbs here of around 30% so I would say we would see but it depends on lot of things here as you said is fluid situation but with short stops like this it is very, very challenging.
Sascha Gommel: Understood. Thank you very much and have a good weekend.
Mikael Bratt: Thank you
Operator: And the next question comes from the line of Chris McNally from Evercore. Please go ahead, Chris.
Chris McNally: Thanks, gentlemen. I am just going to follow on the topic of decremental margins and you had a great raw material and benefit in the quarter looking at sort of the drag over the last year or two, could you put some parameters around either maybe the benefit going forward or when the peak benefit should be? Should it sort of be in Q2 and Q3 somewhat offsetting the pure volume decremental margin?
Mikael Bratt: I think as I said we cannot give any guidance and we are not giving any guidance here so I think its we cannot basically give you any time or eyes on this I think what we said in the beginning of the year was to the direction we saw at this time I think what is happening right now is impacting so many things in our industry but also other industries that it is all moving parts right now. So I think we would like to we need to refrain from giving any indications there, because it’s too with basic.
Chris McNally: That’s there. And then maybe just more of a follow-on to Rod's question about a more longer term view to variable margins in previous downturns we have seen significant restructuring you took a good amount of restructuring last year as sort of we were already at production levels that were well below $100 to $110 million that we all thought a couple of years ago. Is there a level of production or sort of a trigger that would cause the next round of restructuring I am thinking more about permanent and positive to production capacity and white collar workforce?
Mikael Bratt: I mean of course we are working with the number of scenarios here and as we have indicated here I mean the rule and normal rule of thumb is what we have stated before on I think beyond that is all depending on how to develop and this coming through here and we are of course working with number of scenarios here we will need to do whatever we need to do to make sure that we come out in a strong way and I am convinced that we have the tools and also the measures available here for whatever we need to do so it will depends on the overall situation and will execute accordingly but I cannot give any more details in terms of time and size.
Chris McNally: Absolutely. Thank you.
Mikael Bratt: Thank you.
Operator: The next question comes from the line of Erik Golrang from SEB. Please go ahead, Erik.
Erik Golrang: Thanks. I have one question that hasn’t been asked more or less. And I understand you don’t want to give a full year guidance here on sales even though there is more space, there are vehicle projections to relate to, but on the topic of outperformance and for the full year, is it fair to assume if the second quarter regional mix in terms of auto production continues for the second half of that your previous indication of around 6 percentage points of outperformance would be lower in spite of a good mix in Q1?
Mikael Bratt: I think I mean we know what kind of orders we have taken over the past couple of years. I think the long-term direction that we have indicated as a result of these orders is still of course the basis for looking forward, but what is happening right now with a very volatile movement in our industry regionally, but also I mean in terms of size, it of course changes the short-term measurement here. And as you heard the explanation for the first quarter, we believe that if what we have described now current situation is you could expect to reverse, but it all depends also of course on beyond that on how the markets coming back and how it synchronized back to some kind of normal relationships there. But of course, those things impacting, so therefore it’s very difficult to give you any – and that’s why we are refraining from the whole guidance altogether, because it’s so many moving parts, including this one.
Erik Golrang: Okay, thank you.
Mikael Bratt: Thank you. 
Operator: Thank you. The next question comes from the line of Victoria Greer from Morgan Stanley. Pleas go ahead.
Victoria Greer: Good afternoon. Yes, just a few please. Firstly, understand how much the raw material situation is moving around, but could you give us an indication of how much of that contribution just in Q1? The second thing on the geographic mix, you have outlined the differences in terms of content per vehicle, that’s clear on the top line, but is there any difference in margin there? And then the last thing on the Matamoros impact, thanks for quantifying that in the bridge, should we think about any ongoing year-over-year impact or was that really just a Q1 ‘19 issue that doesn’t repeat for the rest of the year?
Mikael Bratt: Yes. I think, I mean, first question, raw material impact in the first quarter as you see from the bridge there, we are talking about the 30 basis points positive contribution for raw materials, so starting the…
Victoria Greer: Sorry and on the top line sorry that’s what I meant, what did you do on the top line?
Mikael Bratt: The raw material impact on the top line, I don’t – I can’t give you a number there. Unfortunately, I don’t have it.
Victoria Greer: Okay.
Mikael Bratt: On the ongo – if Matamoros was one-time from last year that we reverse in this year. If your question was do we have ongoing activity – for the rest of the year that would have the same effect, was that the question?
Victoria Greer: Yes. Is there anything more to come out for the remaining quarters or it was just a Q1 ‘19 effect there has been this one-off impact on the margin, because it doesn’t repeat?
Mikael Bratt: No, almost nothing. So this was the big Q1. And then sorry the third question was?
Victoria Greer: On the geographic mix and the difference in content per car in the different regions, you have been clear about that impact on the top line that will reverse in Q2, should we think about any different margins there or it’s just a content issue?
Mikael Bratt: No. I mean, what we are referred to here is the content issue and the top line effect here. And of course in terms of EBIT mix here, we don’t go into the details per product and region here.
Victoria Greer: Alright, thank you.
Mikael Bratt: Thank you.
Operator: Thank you. The next question comes from the line of Agnieszka Vilela from Nordea. Please go ahead.
Agnieszka Vilela: Thank you. I have couple of questions. Staring with kind of cost side of your business and what you can do there we know that the program you announced last year was supposed to bring about $60 million in yearly savings. How is that proceeding and do you already seeing it for expanding, restructuring because of what’s happening now? Thank you.
Mikael Bratt: I think when it comes to the structural efficiency program we launched last year and some effects last year, but the full effect should be reached during this year. I would say we are on track on that and we are expecting to see the full delivery of that during this year. I think we have indicated in the past here that fully executed is not until we come into the second quarter here.
Agnieszka Vilela: And do you plan anything above that, yes?
Mikael Bratt: I think going forward here, I mean, we are working through all types of cost reductions over let’s call it shot-term nature right now. Then I think the scenario planning we are working will give additional or long-term effect that is needed potentially, but it all comes down to what will be the new normal so to speak beyond the current short-term challenge where we are all dependent on the result of the COVID-19. So to get to the new normal, we need to leave COVID-19 behind us.
Agnieszka Vilela: And if you could quantify any cost benefit that you see from the support from the governments and states in different regions? And also just tell us if you believe that it’s anyway different from what happened during the financial crisis?
Mikael Bratt: I think the government support and programs, it’s too early to give any effects, talk about any numbers there. So broad range of programs and we are also in different phases of these different programs. And I would say also some the much is similar to, so far similar to what we saw in the financial crisis. I think some counties here have added some initiatives that was not there so, it’s a little bit mixed picture, but in many places, especially in the bigger ones, we see similar kind of activities here. But I would say it’s too early to give a number on it.
Agnieszka Vilela: And then the last question for me is really if you could elaborate why you felt the urge to drawdown on all of our revolver given the fact that you have quite limited maturities in both 2020 and 2021, so what was the reason really behind that?
Mikael Bratt: I think, you should see it as just very cautious and proactive activity here for what is a very challenging time. And we have alluded to here during the call here is and also in our report is that the uncertainty is very, very high. We are talking about restart here in Europe and the intention of restarting in North America in early May. But as we are dependent on this pandemic situation meaning we need get that beyond us in order to get back to where we all should be in the industry so to speak. We don’t know how it will develop, if it’s improving or if it’s stabilizing or if it’s diminishing. So, very, very uncertain, so we think that’s the prudent way to manage the company.
Agnieszka Vilela: Okay, thank you.
Mikael Bratt: Thank you.
Operator: Thank you. The next question comes from the line of Hampus Engellau from Handelsbanken. Please go ahead, Hampus.
Hampus Engellau: Thank you very much. Two questions from me. And I apologize if it’s already been asked, because I was a bit late on this call, but in the 11 percentage point, outperformance organic growth during the quarter, is it possible for you to maybe split how much is sales mix from China and how much is market share gains? I am referring back to this 6 percentage points that you referenced about outperformance for the year when you talked about to previously was that figure back end loaded? That’s my first question.
Mikael Bratt: When we talked about it in the beginning of the year where we said we will have an outperformance of 6%, yes, it was back end loaded. So what we see here now in the first quarter is to a less extent regional mix effect, as we said here, where China with lower content per vehicle falling with 50%, while Europe and North America was holding up well. That was the consequences of that.
Hampus Engellau: Fair enough. Yes and then on, I know that you don’t give me any guidance, but if I look at the IHS numbers with a 45% drop second quarter, minus 7% Q3, minus 8% Q4. From your talks to the OEMs and like indicated and even if it’s like really early stage planning for second half is that in the ballpark of what type of discussions you are having with required OEMs when it comes to that?
Mikael Bratt: I think what we are saying here about uncertainty is reflecting our discussion with the OEM, because I think no one have clearer view on how this will develop hence the situation here where we are dependent on the virus basically here and the uncertainty is high also among our customers on how we actually will payout. I think there is of course some plan, some expectations and hopes, but very few know of course.
Hampus Engellau: Thank you very much.
Operator: Thank you. The next question comes from the line of Emmanuel Rosner from Deutsche Bank. Please go ahead, Emmanuel.
Emmanuel Rosner: Hi, thanks for taking the question. One more clarification on the decremental, so when I look at your margin progression year-over-year, we sort of helpfully breakdown sort of like the volumes and other business impacts versus some of the offsetting cost savings, it looks like your decremental margins would have been a certain amount and then about a third of it is offset through cost savings. Any indication you can give us around the magnitude of potential cost savings as you move into Q2 and the rest of the year, could it be stepped up at the level of Q1 or even step back, I guess, how do you think about that?
Mikael Bratt: I don’t think we can give anymore detail surrounding than what we have got yet got so far here, because as we said the uncertainty is high and I think that the visibility we can give you what we already stated unfortunately.
Emmanuel Rosner: Okay. So then on the different topic, so obviously over time your gross above market is heavily driven by sort of the market share gains, I think you also indicated that your win rate has stayed pretty high. Can you maybe talk about new discussion, recent discussion with automakers around timing of those launches? Are there any important or major delays just sort of like know how are things sort of like looking for the rest of this year, I think is being pushed out and any notable differences between regions?
Mikael Bratt: No, as we indicated it before, so far we don’t see any delays here. Of course that’s something that we are cautious of considering down certain development here, but so far, nothing is indicated in that direction, so in that sense, business as usual.
Emmanuel Rosner: Okay, thank you.
Anders Trapp: We have time for one last question.
Operator: Thank you sir. And that comes from the line of Joseph Spak from RBC. Please go ahead.
Joseph Spak: Thanks so much for squeezing me in. Maybe one more quick one on the outgrowth, I know this is a pretty sort of just-in-time industry, but is it possible there are sort of any shipments maybe in like the second week of March like right ahead of sort of the last two weeks shutdown in North America and Europe that sort of contributed to some of the outgrowth that could reverse in second quarter?
Mikael Bratt: Yes, I mean longer we had Europe and North America running here in the quarter, it supported that mix effect, so yes.
Joseph Spak: So, it’s possible that they took some orders assuming that they would continue to produce and then may sort of appropriately had to shutdown.
Mikael Bratt: Yes. I think I mean our customers are starting to pickup. So I mean we don’t have any insight that looks like there, but that’s reasonable to think yes.
Joseph Spak: Okay. And then maybe just one on some of the risks you called out in the newsletter, you talked about maybe potentials on the demand or even power shortages in China, uncertainty in Mexico and the UAW is coming out now and saying they are not sort of comfortable with sort of an early May restart? And also just what are you seeing in your supply chain, because if I go back to some very old notes from the financial crisis, I think you said back then, you guys sort of helped to support like maybe 10 or so of your suppliers and are you seeing anything there or needing to take any action there? Thank you 
Mikael Bratt: I mean, we are of course very close to our supplier base and working together with them to have all the restart activities lined up and so on, including that of course monitoring also the health of the suppliers. And I must say, so far it looks good. We are not currently in anyway close to the situation where we were in the financial crisis. So I would say healthier positions now, but we should also remember that we all live basically two months into this crisis here. So of course that’s something we need to continue to look carefully at, but I would say so far so good and we haven’t needed to do anything yet.
Anders Trapp: Yes, Joseph any follow-up question?
Joseph Spak: Yes, sorry. And just on some like maybe Mexico or some others in China that you pointed out?
Mikael Bratt: Yes, I think I mean just to redirect again I am certain to hear and I mean to get U.S. going full again, you need to have Mexico really on that. And I think we see different status in terms of how the stay-at-home policies looking like and so on and also the ambitions to restart in terms of timing and so on. So, there is still lot of unknowns surrounding all this and that’s why we are very cautious here of giving any indications where we think we are going, because there is so many things that – it’s outside a normal industry judgment you could say, because we are once again dependent on how the virus develops and also the regional and country governments are reacting to that.
Joseph Spak: Thank you.
Mikael Bratt: Thank you.
Operator: Thank you all for your questions. I will hand back the call now to the President and CEO, Mr. Mikael Bratt for closing remarks. Please go ahead sir.
Mikael Bratt: Thank you, Geno. Before we end today’s call, I would like to say that while preparing for restarting, we will continue to managing the effects of the short light vehicle production decline with a never ending focus on quality and operational excellence. Our second quarter earnings call is scheduled for Friday, July 17, 2020. And thank you everyone for participating on today’s call. We sincerely appreciate your continued interest in Autoliv. Until next time, stay safe.
Operator: Okay. That does conclude our conference for today. Speakers, please standby. Participants, you may all disconnect. Thank you for joining. Stay safe everyone.